Operator: Greetings, and welcome to the Installed Building Products Fiscal 2022 Second Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder this conference is being recorded. I would now like to turn the conference over to your host Darren Hicks, Managing Director of Investor Relations. Please go ahead Mr. Hicks.
Darren Hicks : Good morning, and welcome to Installed Building Products second quarter 2022 conference call. Earlier today, we issued a press release on our financial results for the second quarter, which can be found in an Investor Relations section of our website. On today's call management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements about future expectations, anticipation, beliefs, estimates, forecasts, plans and prospects. These forward-looking statements are based on management's current expectations and involve risks and uncertainties. Any forward-looking statement made by management during this call is not a guarantee of future performance and actual results may differ materially as a result of various factors including without limitation the adverse impact of the COVID-19 crisis, general economic and industry conditions, inflation and interest rates, the material price and supply environment, the timing of increases in our selling prices and factors discussed in the Risk Factors section of the company's Annual Report on Form 10-K as may be updated from time to time in our SEC filings. Any forward-looking statement speaks only as of the date hereof. The company undertakes no duty or obligation to update any forward-looking statements as a result of new information or future events except as required by federal securities laws. In addition management uses certain non-GAAP performance measures on this call such as adjusted EBITDA, adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, adjusted gross profit, adjusted gross profit margin, and adjusted selling and administrative expense. You can find a reconciliation of such measures to their nearest GAAP equivalent in the company's earnings release and additional reconciliation for adjusted EBITDA for earlier fiscal years in our investor presentation, which are available on our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer, and Michael Miller, our Chief Financial Officer; and joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. I will now turn the call over to Jeff.
Jeff Edwards: Thanks Darren, and good morning to everyone joining us on today's call. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results and capital position in more detail before we take your questions. We achieved record operating and financial results during the 2022 second quarter as our team worked hard to support our customers and capitalize on strong end-market demand. The second quarter also benefited from the continued success of our local branches aligning our selling prices with the value we offer our customers. As a result, I am proud that we achieved quarterly record revenue, net income and adjusted EBITDA. Our consistent record of growth and value creation is a direct result of our strategic focus and the hard work of everyone at IBP. The dedication of our team members is especially important in the current environment as home builders navigate ongoing supply chain constraints and the challenge of delivering new homes. IBP's value proposition resonates with our customers because of our focus on providing the highest level of service by completing jobs correctly and on schedule. To everyone at IBP, thank you for your commitment, your hard work, and a tough job always done well. Looking at our second quarter results, we experienced another quarter of strong residential sales growth. For the quarter within our Installation segment, we experienced a 32.7% increase in residential same-branch sales from the prior year period, which was driven by a 33.1% increase in single-family same-branch sales and a 30.3% increase in multi-family same branch revenue. By comparison, total US residential completions increased by 2% during the second quarter. We believe completions continue to be impacted by extended residential construction cycle times. During the second quarter, price/mix increased 24.9% over the prior-year period. Consistent with the inflationary trends in the construction industry and the increasing demand for our services, our pricing efforts and stabilized mix compared to the prior year have contributed to the largest quarterly increase we have achieved since becoming a public company. We continue to make prudent adjustments to align our pricing with the value we offer customers in inflationary trends. The supply chain for many of the building products and materials we install remain constrained during the second quarter. We anticipate that supply chain challenges will continue for the foreseeable future, but our national presence and deep industry experience allow us to operate from a position of strength. While mortgage rates have increased since the beginning of the year, we believe the elevated number of permitted units that have yet to be started remains supportive of our residential business throughout 2022 and into 2023. We closely watch our markets for changes in residential activity, but we believe IBP is better positioned than any other time in our history to manage the business throughout the US housing cycle. When combined with a strong balance sheet, our revenue from diverse geographies products and end markets is a core advantage in a cyclical housing construction industry. Within our heavy commercial business, same-branch sales were roughly flat in the 2022 second quarter, with bidding activity remaining stable and project bid acceptance steady relative to 2022 first quarter. The commercial construction market continues to represent a significant long-term growth opportunity for IBP, and we remain focused on improving our operational efficiency. Looking at our acquisition strategy in more detail, we continue to prioritize profitable growth through acquiring well-run companies that install insulation and complementary building products. During the 2022 second quarter and August, we acquired a New Jersey based distributor of better supplies and accessories to residential multi-family and commercial markets, primarily in existing or retrofit construction projects across the US, Northeast and Mid-Atlantic with annual revenue of approximately $45 million; a California based installer of fiberglass insulation, spray foam insulation and acoustical ceiling insulation into new residential multi-family and commercial projects in California with annual revenue of approximately $14 million. And we also acquired a Missouri based installer of fiberglass insulation, as well as fireplaces and heating stoves with the combined annual revenue of over $3 million. As previously disclosed in April, we became an early investor in Energi.ai. Their platform provides actionable insight into a company's energy usage and carbon emissions, using artificial intelligence and we have partnered with them to implement their solution at IBP as we work to reduce our greenhouse gas emissions. Our acquisition pipeline remains robust and includes opportunities across multiple geographies products and end markets. As a result, we believe 2022 will be another strong year of acquisition growth, and we expect to acquire at least $100 million of revenue this year. As we look to the remainder of 2022 and beyond, we are excited by the direction in which we are headed and the compelling outlook across our residential and commercial end markets. We anticipate that effective management of our supply chain will continue to be a priority throughout this year. Our purchasing, logistics and warehousing teams will continue to work with our suppliers and customers to help ease these industry-wide supply chain challenges. With access to labor a strong position with our customers and suppliers and a healthy backlog, we believe 2022 is shaping up to be another year of profitable growth and value creation for IBP. So with this overview, I would like to turn the call over to Michael to provide more detail on our second quarter of financial results.
Michael Miller: Thank you Jeff, and good morning everyone. Net sales for the second quarter increased to a quarterly record of $677 million, compared to $488 million for the same period last year. The 38.7% year-over-year improvement in sales during the quarter was mainly driven by an increase in price/mix, higher volume of customer jobs completed, and the revenue contribution from recent acquisitions. From a segment standpoint, installation revenue increased 32.1% to $638 million driven by strong growth across IBP's residential new construction market. Other revenue which includes IBP's manufacturing and distribution operations increased from $5.6 million to $40.3 million driven by strong operating results and the recent acquisitions of AMD Distribution and Central Aluminum. On a pro forma basis, other revenue increased 16.1% in the second quarter of 2022 compared to the 2021 second quarter. On the same-branch basis, Installation revenue improved 27.4% from the prior-year quarter, driven by single-family same-branch sales growth of 33.1%. Multi-family same-branch sales increased 30.3%. Our residential second quarter same-branch sales growth of 32.7% significantly outpaced total US housing completions growth of 2% during the quarter. As Jeff mentioned, we believe this is in part a result of increased residential construction cycle times, which remained extended during the second quarter relative to the prior year period. While we experienced strong overall installation sales growth, the lingering effects of the COVID-19 pandemic continued to moderate growth in our commercial end market. Installation same-branch commercial sales increased 4.7% in the 2022 second quarter, while our heavy commercial same-branch sales remained roughly flat in the quarter relative to the same period last year. Adjusted gross profit margin improved 90 basis points year-over-year to 32% in the second quarter as we realigned our selling prices to reflect the quality of service we provide, inflationary pressure and material supply shortages. We estimate as supply chain disruptions in the second quarter of 2022 had an impact of approximately $1.1 million on gross profit during the quarter. The impact from these supply disruptions reduced adjusted gross profit margin by approximately 20 basis points. Administrative expenses as a percent of second quarter sales were 12.4%, a 120 basis point improvement from the prior year period. Adjusted SG&A as a percent of second quarter sales improved approximately 130 basis points from the prior year period to 16.1%. The year-over-year improvement in SG&A expense relative to sales during the second quarter reflects our ability to leverage administrative costs during strong volume and price/mix growth periods. On a GAAP basis, our second quarter net income increased 61% from the prior-year quarter to $59.9 million or $2.07 per diluted share. Our adjusted net income improved 52% to $71.7 million or $2.48 per diluted share. We estimate the materials supply shortages impact second quarter earnings per share by approximately $0.04 per diluted share. During the second quarter of 2022, the acquisition of new businesses increased our recorded amortization expense to $11.3 million, compared to $9.2 million for the same period last year. This non-cash adjustment impacts net income, which is why we continue to believe that adjusted EBITDA is the most useful measure of profitability. Based on recent acquisitions, we expect third quarter 2022 amortization expense of approximately $11.4 million and full year 2022 expense of approximately $44.8 million. We would expect these estimates to change with any acquisitions we close in future periods. Adjusted EBITDA for the second quarter of 2022 improved 53.1% to $119.5 million. Adjusted EBITDA as a percent of net revenue was 17.7% for the 2022 second quarter, a 170 basis point improvement from the same period last year. Same-branch incremental adjusted EBITDA margin was 25.8% for the second quarter compared to 13.3% for the same period last year. For the 2022 second quarter, our effective tax rate was approximately 26.3%. And we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31st 2022. Now, let's look at our liquidity, balance sheet and capital requirements in more detail. Our business model continues to generate strong operating cash flow. The three months ended June 30th, 2022, we generated $51.2 million in cash flow from operations compared to $45.8 million in the prior-year period. The year-over-year increase in operating cash flow was primarily associated with higher net income, which offset increased working capital requirements aimed at reducing material shortages in a supply constrained environment. At June 30th, 2022, we had $289 million in working capital excluding cash and cash equivalents and investments. Capital expenditures and total incurred finance leases for the six months end of June 30th 2022 were $25.6 million combined, which was 2% of revenue at June 30th 2022, compared to 2.3% for the same period last year. There is currently nothing drawn on our $250 million ABL facility, which matures on February 17th 2027. In July 2022, we realized a $25.5 million gain through the sale of the company's existing interest rate swaps and entered into new interest rate swap agreements fixing the interest rate on $400 million of the company's existing variable rate debt until December of 2028. As a result, we have limited our interest rate exposure and have no significant debt maturities until 2028. With $165 million in cash, cash equivalents and investments and borrowing capacity under our ABL facility, we have an excess of $350 million in liquidity to invest in long-term growth opportunities. By June 30th 2022, we had a net debt to adjust the trailing 12-month EBITDA leverage ratio of just under 2 times which remains in line with our stated target. With our strong liquidity position and modest leverage, we continue to perform on our acquisition strategy and return capital to shareholders. During the 2022 first half, we have returned $144 million to shareholders through dividends and share repurchases. Through the first six months of 2022, IBP repurchased one million shares of its common stock at a total cost of $99.7 million which includes 554,000 shares repurchased during the 2022 second quarter at a total cost of $49.8 million including commissions. The board of directors authorized a new stock repurchase program, which replaces our existing program. The company has $200 million of availability under the new authorization, which expires August 10th 2023. Today, we announced that IBP's board of directors approved a third quarter dividend of 31.5 cents per share which is payable on September 30th 2022 to stockholders of record on September 15th 2022. We are committed to continuing to grow the company while returning excess capital to shareholders through our dividend and share repurchase programs. With this overview, I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by once again thanking IBP employees for their hard work, dedication and commitment to our company. Our success over the years is made possible because of you. Operator, let's open up the call for questions.
Operator: At this time, we'll be conducting a question-and-answer session. . Our first question comes from Adam Baumgarten with Zelman & Associates. Please proceed with your question.
Unidentified Analyst: Hi, this is Marius for Adam. Good morning and thank you for answering my question.
Jeff Edwards: Morning.
Michael Miller: Morning.
Unidentified Analyst: Just a quick question on price/mix, obviously 110% higher than the prior quarter, I was just curious if you can give us some details on the split between price and mix. 
Michael Miller: So, as Jeff mentioned in his -- this is Michael. As Jeff mentioned in his prepared remarks, the mix has been fairly neutral the past two quarters on a relative basis. We've seen - the difference of the growth rates between insulation and the other products has been fairly similar. And some of the price/mix headwinds that we had really in 2020 and even a little bit in 2021 where we were seeing much higher growth rates from the production builders relative to the non-production builders has been mitigated. So, it's really the mix is fairly neutral and while there is some mix negative mix associated with it it's mostly price.
Unidentified Analyst: Got it. Thank you very much. And another question about material availability. I mean obviously the 20 basis points impact is similar to the prior quarter. Maybe can you give us a bit more insight given that availability varies by region and by product? Maybe some commentary on spray foam. Thank you. 
Jeff Edwards: Hi, this is Jeff. Spray foam specifically, it's better than it's been in the past certainly and there's really two types of foam that we deal with what's called half pound foam and two pound foam closed cell and open cell. And open cell has been improving more rapidly and for longer in terms of supply than closed cell, but we're starting to see a little bit of movement in a positive fashion on the closed cell side of things too. 
Michael Miller: And overall it's getting better but we're still having -- particularly, on fiberglass still having some SKU issues. 
Jeff Edwards: Absolutely. 
Michael Miller: And there are still some -- the manufacturers are still not necessarily producing all the SKUs that we want when we want them.
Jeff Edwards: Right. So, it continues to be despite our results not a particularly efficient time to do business both from a supply side of material side and from a labor side. I don't know that you'd recognize that. And we're doing our best to make it as efficient as we can but we're still working through those inefficiencies. So, -- and as I said congratulations to our team for dealing with this every day to be honest with you and thank you.
Michael Miller: Yes. And as we work through it it's a great tailwind for gross margin as we improve the efficiencies there.
Unidentified Analyst: Thank you. 
Operator: Our next question comes from Stephen Kim with Evercore ISI. Please proceed with your question. 
Trey Morrish: Hey guys this is actually Trey on for Steve. There has been a clear deterioration in housing starts both evident by the national numbers but also builder commentary about metering starts going forward that they put out fairly regularly over this last quarter. So, given this weakening but also elongating of cycle times how would you talk about what you're seeing in your backlog with respect to anticipated demand over next few quarters and into 2023 both from a single-family, multi-family, and commercial aspect as well?
Michael Miller: Trey this is Michael. So, it's interesting I think when you're looking at the residential side given what's happened from a completions perspective there's somewhat of a disconnect between single-family and multi-family right now. As you know single-family completions year-to-date have been up about 4% whereas multi-family completions have been down about 13%. Despite that though when we look at sort of the macro backlog if you will we look at what the Census Bureau reports under what's under construction. So it's something that's been started but hasn't been completed yet. And if you look at those numbers over the past really 13 months, they've increased every single month for the past 13 months. So, what that means is the backlog is continuing to grow despite the recent decline in starts. And that obviously, represents a continued extension or increase in the cycle times, but it also gives us a lot of confidence about continued growth within certainly the demand for our services as we go forward. Something in that - in the information from the Census Bureau that is probably worth thinking about or considering is that in June under construction single-family under construction units was about 830,000 or so units. At the current completions rate that's about 10 months' worth of completions. And then the authorized not started so what's been permitted but not started adds another two months to that. So, assuming there's no addition to the current backlog which we all know is not practical to happen you have 12 months of backlog at the current rate of completions. So, we feel very good about what's there. I think another thing to consider is that while certainly orders were weak at certain of the public builders this past quarter the dollar value of their backlog is still up 17%. So - and as we spoke to in the last quarterly call really from our perspective, that the dollar value of the backlog is as relevant or more than the number of units in that backlog. And all the things that I mentioned relative to single-family multi-family, again from the Census Bureau, all of that information is unit driven not dollar-value driven, which is we think pretty critical particularly when you're looking at sort of the price mix that we're getting currently within the business. So we feel confident. We believe, we have every reason to feel confident about it. On the commercial side, we continue to feel very good about the light commercial business. The heavy commercial business, we're still seeing very good bidding and acceptance of bids. During, the quarter that business on a same-branch basis, was basically flat, but we continue to believe that long-term, medium term that is a very good business for us. 
Trey Morrish: Got it. Thanks very much for that quite full answer. And then you talked about supply constraints and under such an environment, you'd think that pricing would continue to march higher. However, there hasn't been any new manufacturer price increase announcements as far as we can tell. So how are you thinking about pricing in the back half from, both you pushing out to customers given again that continued long backlog, you talked about but also what your manufacturers are pushing towards you? 
Jeff Edwards: This is, Jeff. I would just say that as long as there continues to be inflationary pressure both on suppliers and therefore, on us and really on builders from a myriad of other directions besides insulation and the things we install, I think you'll continue to see price increases. I can't comment exactly, why a manufacturer hasn't picked up in the last 30 days and sent us a new price increase notice,but I doubt seriously -- with some things still yes, getting straightened out a bit transportation et cetera even still it's an inflationary environment.  So I don't anticipate - and again there's not enough industry capacity, at these kind of volumes to really end up to where, I wouldn't call it a glut, to where there's oversupply. And so I see it continuing to be tight and continuing to be a constructive environment in terms of, be able to raise prices. 
Michael Miller: But quite frankly, we talked about this in the last quarter and I think most people would echo this sentiment, that a flat environment, a non-inflationary environment or kind of low single-digit inflationary environment, is something we're all looking forward to. From an economic perspective and from an overall company perspective, we think that that's where we need to get to as an industry. And we have had more stability recently, than we have had over the past call it 18 months or so.
Stephen Kim: Hey guys, it's Steve Kim I just wanted to jump in on one thing. Can you talk a little bit about what you're experiencing, from your end on wage inflation and how that's affecting -- how that maybe manifested itself in the quarter? But then also in terms of, what we can expect over the next one to two quarters in terms of that portion of your cost structure. 
Michael Miller: Stephen, this is Michael. So as you know the vast majority of our installers, which is the bulk of the cost are labor costs are paid piece rate or job pay. So they're paid, based on productivity. And absent the inefficiencies that Jeff was talking about earlier in the call, that we're experiencing in some of that we continue to see very good efficiency rates, within that component of our labor cost. I would say, where we're seeing a little bit of pressure is on the G&A side, which is understandable, but it's nothing that we haven't been able to manage appropriately. So it was definitely not a headwind, during the quarter for us. 
Stephen Kim: Right. 
Jeff Edwards: And most of what -- that which we have seen on the direct labor side of things, in terms of wage inflation, has really been in starting wages for kind of new hires. 
Stephen Kim: Yes. Okay, great. Thanks very much guys. 
Operator: Our next question comes from Susan Maklari, Goldman Sachs. Please proceed with your question. 
Susan Maklari: Thank you. Good morning, everyone and congrats on a great quarter guys. 
Jeff Edwards: Thank you. 
Susan Maklari: My first question is, one of the things that we've been hearing is that build times have at least stabilized to some extent. It sounds like supply chains, are perhaps getting a little bit better out there and builders, are at least seeing some flattening of that. Can you talk to, how you're seeing those cycle times coming through any improvement that you're expecting there and how that could help you work through this backlog? 
Michael Miller: It is definitely getting -- I think the best way to describe it, is it's not getting worse, but I would say that it's not getting materially better at this point. But that in itself is extremely constructive that it's not getting worse. Right, so. 
Susan Maklari: Yes. Okay. My next question, is you've been seeing really impressive levels of SG&A leverage especially in the last two -- several quarters or so. Can you talk to the ability to continue to see improvements there, and how we should be thinking about that as we go through the back half of this year maybe even into 2023?
Michael Miller: Sure. I mean clearly price mix and volume growth help considerably, particularly on the administrative leverage. And to the extent that we continue to have solid price/mix and volume growth, we would expect to continue to get some level of administrative leverage. Quite honestly, though as we think through getting more EBITDA margin, which we believe we will continue to do, we do think that there is - there's opportunity on the gross margin side and there continues to be opportunity, particularly on the administrative side. We get some leverage on selling costs but not nearly as much as we do on the administrative side.
Susan Maklari: Okay. Thank you. And good luck.
Michael Miller: Thank you.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets. Please proceed with your question.
Ryan Frank: Hey guys, this is Ryan Frank on from Mike Dahl. Thanks for taking my question.
Michael Miller: Sure.
Ryan Frank: So the first one for me is price cost favorable to a larger extent this quarter. Are you expecting that to continue in the near future? 
Michael Miller: Well, the near future, yes. But as we go into the back half of the year, the comps will become more difficult, given that selling price increases based on the inflationary environment that we experienced or worked through in the back half of last year. So while those trends certainly continued through July, we would expect to see moderation in price/mix as we go forward through the back half of the year.
Ryan Frank: Moderation. But would you expect from a price/cost standpoint to inflect negatively again then?
Michael Miller: No.
Ryan Frank: No? Okay. Got it. That's very helpful. And then the second one on the M&A side have you seen any changes to the M&A environment, whether it's people looking to sell more aggressively in the current time or even the flip side, people kind of pausing given the slowdown recently? 
Jeff Edwards: This is Jeff, I would say, I mean our ability to get deals done and kind of in the box or the parameters in which we place deals hasn't changed at all. I would say that the inbound inquiries as to whether we would have an interest have ticked up a bit and are coming from a little further afield, in terms of kind of not necessarily being right down the fairway on what we're typically looking at doing. So I guess a shorter answer to your question is yes, there's a few more sellers than there were before in a broader category knocking on our door.
Ryan Frank: Just to follow quickly on that. Would that be meaning more like they're in kind of the distribution space or just outside of typical insulation? 
Michael Miller: More the latter. 
Ryan Frank: Okay. Got it. So different product areas. 
Michael Miller: But I would say that our near-term pipeline is very heavily weighted towards insulation deals.
Jeff Edwards: Yes. And some of it's end market - different end markets too. I mean we're seeing sellers that are smart enough to try to take advantage of what was a COVID run-up in their sales and convince us that it wasn't that I suppose.
Michael Miller: Especially on the retro repair and remodel side.
Jeff Edwards: Yeah. 
Michael Miller: Yeah. So. 
Ryan Frank: Got it. Makes sense. Thank you very much guys.
Michael Miller: Sure.
Operator: Our next question is from Michael Rehaut with JPMorgan. Please proceed with your question.
Doug Wardlaw: Hi, good morning guys. Doug Wardlaw on for Mike. I was wondering if you could give some further insight on the acquisition pipeline right now and how it kind of has changed as market conditions has changed. And obviously, you guys reiterated your goals. So I'm just wondering if you could give a little bit more insight on what you're seeing right now.
Jeff Edwards: As Michael - this is Jeff. As Michael mentioned, we feel pretty good right now both about the number of deals but also they're I wouldn't say highly concentrated but fairly well concentrated inside of the installation install business. So that's - I guess somebody could argue that a couple years ago that maybe we were into other products in a little more heavily - heavy manner but there's plenty of opportunities out there. We a number of years ago kind of started trying to avoid doing the very, very small deals unless it was really strategic for us in some way. So, it's also good that our pipeline also has a number of larger â at least by our standards larger-than-average deals too. So we feel good about it. 
Michael Miller: And I would say that to Jeff's earlier comment about the acquisitions, I mean there's definitely an increase in inbound activity from non-traditional sellers for us. So, companies that we haven't had a significant relationship with them that we've been sort of nurturing if you will overtime, and I think that's what you're seeing in this market right now. So those sort of inbound atypical calls for us. But as Jeff mentioned I mean a lot of those we're looking at with the very jaded eyes, so to speak and really like the fact that the pipeline right now has a lot of insulation deals in them. 
Jeff Edwards: I mean I would say we forever have tried to be as ethical and honest and as good acquirer as we can possibly be. And probably more than ever right now I think the pipeline is full of deals that have come to us as a result of either; one, our reputation; or two, as direct referrals from other companies and other owners that we bought out previously. 
Doug Wardlaw: Great. Thank you. And then I wanted to touch on the heavy commercial aspect of your business and I apologize if you hit on this earlier. Just a little bit more color on how kind of it trended throughout the quarter and then what the organic growth was like there if you guys could break that out?
Michael Miller: Yeah. So, it was basically flat during the quarter. So, on a year-to-date basis it's basically flat as well on the same-branch basis. And as we've talked in previous quarters, we do expect that business to improve certainly towards the latter part of this year on the same-branch basis. And then also, as particularly as we go into '23. I mean the backlogs continue to be very solid there, but just like - I mean it's not as - it's almost comparable to what's going on in multi-family. I mean if you look at the multi-family market right now, starts are running 70:30 or so and - which is somewhat close. I mean when I say 70:30 I mean 70% single-family 30% multi-family which is higher than historical averages, but kind of in line. But when you look at the under-construction numbers it's basically half single-family and half multi-family. So that obviously means that the multi-family cycle times have gotten incredibly extended. And I think you're seeing the same thing with heavy commercial that you're seeing in multi-family that because â and I'm not talking necessarily about us but the industry, as a whole is that there is still significant material and labor constraints out there.  And coming to a multi-family job or a commercial job, you're concentrating a lot of labor and a lot of material in one place. And that's much more difficult to do in this kind of environment than it is at single-family, where you have two or three installers and a small amount of relative material to get that job done. So, it's just - it's easier to be nimble on the single-family side. And I think that's why you saw completions growth in single-family year-to-date, whereas you saw a significant decline in multi-family completions growth and the backlog is so strong. From our perspective, I mean while some people may not think that multi-family is great, I mean our multi-family same-branch sales growth has been honestly spectacular. And we're continuing to see incredible growth on the multi-family same-branch sales growth. So in the first quarter it was 23% and in the second quarter it was 30%. So â and that again that's against the backdrop of a 13% decline an almost 14% decline in multi-family completions. 
Doug Wardlaw: Great. Thank you for the color guys. 
Michael Miller: Sure. 
Operator:  Our next question comes from Trey Grooms with Stephens Inc. Please proceed with your question. 
Unidentified Analyst: Good morning guys. This is actually Sid Ramesh  on for Trey Grooms. Congrats on the quarter. 
Michael Miller: Thank you. 
Unidentified Analyst: So for my first question, could you guys give us some color on inventory and how you're planning to manage inventory in a potential downturn? 
Jeff Edwards: I mean this is Jeff and Michael and I gang up on this probably, but despite us being in other products to a degree too still the preponderance of what we do or the highest by a pretty long shot is insulation 65-ish or so percent of our sales. And that inventory turns very, very quickly. And typically, we have even less than 30 days I believe, right Michael of inventory on hand. And so, it moves really very quickly. And it's really never -- even during the great recession, inventory in the kind of difficulty in managing that down wasn't even present then. So, that's not something that in this environment. We're still more worried about and I can't even imagine a time yet, where I'm not more worried about getting what we need in a timely manner in the exact SKU that we want et cetera versus having to deal with an overabundance of inventory.
Michael Miller: Yeah. 
Jeff Edwards: Very different from what we all have heard and read about recently in the retail environment.
Michael Miller: And we have little to no obsolescence in our inventory. There's no doubt that we are carrying more inventories now than we would historically, but it really is to have assurance of supply as much as we can of material, but it's very easy for us to stop buying and work through the existing inventory. And we would expect that, if - which we're not -- based upon our discussion relative to the backlog that's out there, even if we do see volume declines, it's easy for us to just not be purchasing inventory. And we quickly generate cash flow by bringing that inventory down. So.
Unidentified Analyst: Okay. Got it. And then for my final question, how should we think about capital allocation between M&A and buybacks?
Michael Miller: So, the number one priority without a doubt is M&A. I would say, the second priority is the quarterly dividend, then share repurchases and then the annual variable dividend.
Unidentified Analyst: Okay. That was helpful. Thank you and best of luck guys.
Jeff Edwards: Thank you.
Operator: Our next question comes from Ryan Gilbert with BTIG. Please proceed with your question.
Ryan Gilbert: Hi thanks. Good morning guys.
Jeff Edwards: Good morning.
Ryan Gilbert: I wanted to ask about volume growth in the second half of the year. It sounds like given the strength that you're seeing in your end markets, improving demand for your product combined with comps getting significantly easier in 3Q and 4Q, do you think that you could see an acceleration in volume in the second half of the year or what are the puts and takes there?
Michael Miller: It really depends upon the trades that come before us. If they can get the houses ready and they can get the apartment units or the multi-family ready, then I think, we will grow along with that volume growth, as we have consistently. But if the trades before us aren't getting the work done, we can't do our work until the house is ready for us. So, as we were saying in earlier part of the Q&A, we do think that cycle times are not getting worse. So, to the extent that that holds, we think that given again the extended or the increased level of backlog that it definitely is more encouraging certainly from a volume perspective for the industry.
Ryan Gilbert: Okay. And this is something that you are seeing in your own backlogs in addition to the data that we're all looking at from the Census that's correct, right?
Michael Miller: Correct.
Ryan Gilbert: Okay. Second question, we're hearing at least on the land side some builders are either rebidding or dropping out of contracts. Have you noticed any changes recently in builder price elasticity?
Michael Miller: Not for the services that we install. Again, I mean we talk about this in a nice way, but we install all these low-dollar-value nuisance products that are required to be installed and chosen by the builder and not by the homeowner. So, it provides in an environment like this a little bit more stickiness, not to say we don't have to be competitive because absolutely we do. And let's face it builders are getting some relief from certain other building products like lumber and other things. So, the builders are doing exactly what they should be doing in our opinion so.
Ryan Gilbert: Okay. Thanks.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session and I would now like to turn the call back over to Jeff Edwards for closing remarks. 
Jeff Edwards: Thank you for your questions. And I look forward to our next quarterly call. Thanks again.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.